Operator: Good afternoon, ladies and gentlemen. Welcome to Tucows Fourth Quarter 2012 Conference Call. Earlier this afternoon Tucows issued a news release reporting its financial results for the fourth quarter. That news release and the financial statements are available on the company's website at tucowsinc.com under the investors heading. Please note that today's call is being broadcast live over the internet and will be archived for replay both by telephone and via the internet beginning approximately 1 hour following the completion of this call. Details on how to access the replays are available in today's news release, as well as at Tucows' website. Before we begin, let me remind you that matters the company will be discussing include forward-looking statements and as such are subject to risks and uncertainties that could cause the actual results to differ materially. These risk factors are described in detail in the company's documents filed with the SEC. Specifically, the most recent reports on the Form 10-K and Form 10-Q. The company urges you to read its security filings for a full description of the risk factors applicable for its business. I would now like to turn the call over to Tucows' President and Chief Executive Officer, Mr. Elliot Noss. Please go ahead Mr. Noss.
Elliott Noss: Thank you, operator. With me is Michael Cooperman, our Chief Financial Officer. For today's call, I'll begin with an overview of the financial and operational highlights for the quarter. Mike will then review our financial results for the quarter in detail and I will return with some concluding comments before opening the call up to questions. Q4 was another quarter of solid performance, capping off another year of solid performance, highlighted by our most exciting service launch since OpenSRS. Our results for the quarter and the year underscored the consistency and reliability in our business. We continue to deliver steady growth off of the strength of our core business and we continue to enjoy accelerated growth on Ting with little incremental expense. Total revenue for the quarter grew 13%, from the same quarter in 2011 to $29.8 million, our eleventh consecutive quarter of growth and revenue for the year grew 18% net percent to just shy of $115 million both records for the respective periods. Cash flow from operations for Q4 was $2 million and for the year was $6.3 million allowing us to continue to deliver on our stated objective of returning capital to shareholders which we did through both our normal core issuer bid and our most recent modified Dutch Tender option. Let's look at the highlights for the quarter in each of the three parts of our business beginning with wholesale. Domain services the largest component of our wholesale business continued to perform well in Q4. Revenue for the domain services was up 8% compared to the same quarter of 2011. Transaction volumes continue to be soft, which is consistent with what we were seeing in an industry level. Total transactions were down by 5% from Q4 2011 and just over $2 million. New registrations were down 27% from Q4 2011 primarily related to marketing activities specific in Q4 of last year undertaken by specific large customers. However I'll again note that the corresponding impact on gross margin is much, much lower as the decrease was related to very low margin transactions. Renewal registration continue to show growth up 6% year-over-year , but down sequentially as a result of those same marketing campaigns undertaken by resellers and industry partners in 2011 that had low renewal rates a year later. We expect this effect to be temporary and despite this our renewal rate remains above the industry average. The number of transfers in likewise decreased 8%. Total domains under management at the end of the fourth quarter were 14 million, up 18% for the same time last year. This was impacted by the acquisition of a registrar by one of our customers who then moved registrations to its own accreditation on our platform. On the new business front, we continue to focus on and be successful in expanding our customer base globally. Turkey is a key market for us, with fast growth in internet penetrations and growth in the web hosting industry. And we've had a number of competitive wins there including one of the largest hosting companies in Turkey just last quarter. Our domain name expiry stream had an especially good fourth quarter as a result of the growth in the bulk sale of direct navigation names. Our two contracted purchase partners are now buying both consistently and aggressively and we look forward to continued strong performance for this line of business. Turning to the retail component of our business, Hover continued to generate solid out sized growth with revenue up 30% year-over-year and 5% sequentially. We also continued to see good growth in the number of customers which was up 14% year-over-year. New transactions which include new domains, transfers and email accounts were up 36% compared to the fourth quarter of last year. Renewable rates, which were already tracking at high levels ticked up a little further compared to Q3. The ratio of transfers-ins, transfers-out for Q4 surpassed 7.5 to 1, the highest level in the last 12 months, once again underscoring the competitive strength of the Hover value preposition. I will also note that for the second quarter in a row the total absolute number of transfers-out declined meaningfully and compared to Q4 2011 we're down a total of 26%. The other component of retail Ting continues to gain momentum and we're continuing to see the strong customer growth that I discussed on our last call. During Q4 we added more than 5,000 new accounts and more than 7,000 new devices, bringing the total number of accounts to more than 10,000 and the total number of devices to more than 15,000. I will once again remind you that for us unlike our competitors an account is a person not a device. There were a couple of notable additions to the Ting offering during Q4 that will further contribute to this growth going forward. Most importantly it was the first quarter that customers could bring their own Sprint devices to Ting. Now instead of having to buy a phone from us customers can use one of the more than 50 million Sprint phones already in circulation. They can either bring a Sprint phone if they already own or go to a secondary market such as eBay and buy a used Sprint phone and bring that over to Ting. We launched renewal Sprint device in response to customer demand and quickly saw a jump in the total number of daily new accounts and devices. During the quarter we also launched a beta program with [Glide], the group who originally build eBay motors. Glide offers an online marketplace where customers can easily and confidently buy quality used devices. Glide is embedded right on the Ting device page, offering Sprint enabled phones that can be activated through the bring your own Sprint device program. The sizeable supply in demand of high quality used phones is a reflection of the maturing of the smartphone marketplace. You are seeing now the second and third generation of smartphones. We forget that the iPhone was only launched in 2007 and Android really didn't get going until 2009 and one can even argue 2010. So we are just into that first upgrade cycle. All of this is about eliminating hurdles and expanding the universe of potential customers that we can draw. There are three primary variables when people pick up from cell phone provider; price, network and device. We have a tremendous price advantage relative to our competitors. The Sprint network will keep getting stronger with their network vision initiative. We wanted to take device out of the equation by providing as many options as possible. With the used marketplace and AT&T of rising customer could simply swap, top up or trade his device for a Sprint phone and then bring that Sprint phone to us. Growth in Ting accounts and devices continues to be quite strong through the first half of Q1. Gross margin remains in the 40% to 45% range and customer acquisition costs continue to be well below $100. As per our expectation we exited the year with the run rate that puts Ting on a track to becoming our second largest service behind domain names. We are confident that Ting will be a meaningful contributor to EBITDA in the years ahead. The portfolio component of our business continues to perform well. Although as we have discussed in the past, at times, sales from inventory can't be lumpy. It's helped to also look at high price sales and low price sales separately to understand the real health of that business. In Q4, we had fewer sales of domains over $50,000 than we've had in previous quarters. Yet, the total number of domains sold directly was up 83% year-over-year. Likewise, revenue from domains sold through network partners was up 17%, hitting at all time high of well over $400,000. Both also saw increases in average sales price. Thus, our strategy in 2012 of moving to higher price points as well as increase in the upper stores direct sales has paid off. Finally, while sales of high price domains might delight or disappoint from one quarter to the next, our pipeline of domain sales in the $2,000 to $3,000 rate continues to show the sort of reliability and steady growth that we look for in all of our business units. Overall 2012 was a very successful year for Tucows. Our core business continues to exhibit steady growth and the leverage in our business model has enabled us to efficiently launch Ting, which we already view as a business success. We entered 2013 with the win in our backs and well positioned to continue to deliver consistent reliable performance, generate growth and continue to build the value for our shareholders. I would now like to turn the call over to Mike to review our financial results for the quarter in greater detail. Mike?
Michael Cooperman: Thanks, Elliot. Net revenues for the fourth quarter of 2012 grew to $29.8 million, up $3.4 million or 13% from $26.4 million for the same quarter of last year and our 11th consecutive quarter of record revenue. Cost of revenues before network costs were $22, an increase of $3.5 million or 19% from $18.5 million for the fourth quarter of 2011. Gross margin before network costs decreased by $73,000 or 1% to $7.8 million from $7.9 million for the same quarter of 2011. The decrease is primarily due to the lower contribution from our portfolio revenues stream, which I will discuss in a moment. As a percentage of net revenue, gross margin before network costs decreased to 26% from 30%. I will now walk through the gross margin performance in each of our three service categories, wholesale, retail and portfolio. Gross margin for wholesale services, which includes domains and other values added services, provisions through OpenSRS, as well as the sale of the domain names and advertising from our OpenSRS Domain Expiry Stream increased by $601,000 or 12% to $5.8 million from $5.1 million in the same quarter of 2011. As a percentage of revenue, gross margin from wholesale services was 23%, compared with 22% for the same period of 2011. Gross margin for the domain services component of wholesale increased by $103,000 or 3% to $3.5 million from $3.4 million, primarily the result of higher transaction volumes from existing customers. Gross margin for the other value added services component of wholesale increased by $498,000 or 28% to $2.2 million from $1.8 million, primarily the result of another good quarter for our domain name expiry stream. Gross margin for retail services, which includes the contributions of Hover and Ting, increased $290,000 or 33% to $2.1 million from $883,000, primarily the result of the continued success Hover has been achieving with its initiatives to attract new customers and increasing domain name sales to existing one. As a percentage of revenue, retail services gross margin was 32% compared with 62% for the fourth quarter of 2011, with the decrease primarily resulting from the sale of Ting devices at or slightly below the cost as well as the lower gross margin generated by Ting services. To help frame the impact Ting has on our retail numbers, I will note that Ting device sales for the fourth quarter this year, accounted for $1.1 million of our retail revenue and $1.4 million of our retail cost of goods sold. Gross margin from our portfolio revenue stream decreased by $965,000 or 53% to $866,000 from $1.8 million for the same quarter of 2011 the decrease is primarily the result of two factors, first the decision by one of our vendors not to repeat certain marketing development initiatives they undertook in the fourth quarter of 2011 which generated $0.5 million in gross margin during that period. As I discussed in the past our vendors engage in such marketing programs from time to time and are not necessarily continue to repeated in future periods, and second as Elliot mentioned earlier the timing of the domain sales from the portfolio can vary significantly from quarter to quarter. This was the case this quarter with domain name sales from our portfolio were nearly $300,000 lower when compared to the fourth quarter of 2011. On a percentage basis gross margin from our portfolio was 81% compared with 91% from the fourth quarter of 2011. Turning to costs. Network cost for the fourth quarter of 2012 increase a $160,000 or 12% to 1.5 million from $1.3 million however, as a percentage of revenue were more or less unchanged at 4.9%. We continued to benefit from the efficiencies in the operating and managing our collocation facilities as well as the relatively low capital expenses we require for operating our platforms. Total operating expenses for the fourth quarter were $5.6 million up $1.6 million or 42% from $3.9 million for the same quarter of 211, the increase was in part the result of our having incurred a loss on foreign exchange contracts in the fourth quarter of 2012, of 110,000 compared with a gain on Foreign Exchange contracts of $840,000 for the fourth quarter of the prior year. With regard to our Forex contracts I would note for you that in the current quarter we adopted hedge accounting for foreign accounting risks and have thus begun applying hedge accounting for the majority of our contracts we need to meet our Canadian dollar requirements on a prospected basis. We have taken new steps in order to mitigate the impact of change in fair value of these instruments have on our quarterly results. These increases -- this increase was also due in part to the costs associated with the acquisition of on-boarding of new Ting customers. As we discussed last quarter although our costs of customer acquisition and customer services are incredibly efficient relative our competitors they are still significant as the Ting business grows at the higher rate that it currently enjoys. As a percentage of revenue, total operating expenses increased to 19% from 15% for the fourth quarter of 2011. Net income and comprehensive income for the fourth quarter of 2012 was $470,000 or $0.01 per share compared with $6.1 million or $0.01 per share for the fourth quarter of 2011. $0.06 of the decrease in the earnings per share is attributable to the positive impact that the release of our deferred tax assets valuation allowance had on our earnings per share in the fourth quarter of last year. Remainder is primarily attributable to the lower contribution from our portfolio revenue stream during the fourth quarter of this year, that I discussed earlier, as well as the impact of the change in the fair value of our foreign exchange contracts in the fourth quarter of this year relative to last year. Cash and cash equivalents at the end of the fourth quarter was $6.4 million unchanged from the end of the same quarter of 2011 and up $1.4 million from $5 million at the end of the third quarter of 2012. With regard to loan facilities with the Bank of Montreal, I would note for you that during the quarter we amended our credit facility with BMO to increase our available credit under our demand loan facilities from $8 million to $14 million. As of the year ends $3.7 million was owing under this facility. Subsequent to the yearend we drew down an additional $5.2 million under this facility to complete the Dutch tender offer we closed in January, which Elliot will recap the details of the tender in a moment. Cash flow generated by operating activities during the fourth quarter of 2012 was $2 million compared with $2.7 million for the same quarter in 2011. In addition during the quarter we used $300,000 for the repayment of our loan and invested $330,000 on equipment purchases. Deferred revenue at the end of the fourth quarter of 2012 was $71 million, an increase of 3% from $69.2 million at the end of the fourth quarter of 2011 and a decrease of 3% from $73.3 million at the end of the third quarter of 2012. This decrease compared to the third quarter arose primarily from a large volume low margin customer electing to move [their natural] owner accreditation during 2010. This migration has pretty much worked its way through the system at this stage, so we don't believe this effect will recur in 2013. In summary, our fourth quarter results again underscore the consistency and reliability of our business. Our financial results for both the quarter and the year highlight our ability to benefit from leveraging our business model. We continue to grow our top-line, deliver solid cash flows from operation while prudently managing costs. All of which are indicative of the underlying health of our business and position us well for the future. With that I'd now like to turn the call back over to Elliot.
Elliot Noss: Thanks Mike. The ability of our business to generate cash enables us to continue to deliver on our objective to return capital to shareholders throughout 2012. Following on a Dutch tender auction at the beginning of 2012 and a subsequent normal course issue a bit under which we repurchased over 10 million shares. We undertook another Dutch tender auction at the end of November, with the intention of repurchasing up to another 6.5 million shares. The results of the tender were such that we took up 4.1 million shares at a purchase price of $0.50 per share for a total cost of $6.2 million excluding fees and expenses. Clearly we didn't get all the stuff we were looking for, but we ultimately view this is a good thing. We were still able to reduce the number of issued and outstanding shares by another 9%. We are now down to just over 40 million shares outstanding, almost half the number of shares outstanding at the end of 2006. Moreover we see that the vote of confidence in the Company going forward and the way the market has responded close to tender tends to reinforce that. Before opening the call to questions, I want to walk through the business at a high level as we see it looking forward as the business continues to evolve. The business now has four distinct pieces; OpenSRS, YummyNames, Hover and Ting. OpenSRS, the wholesale part of the business is still the largest component and the one that drives the most revenue billed gross margin and the greatest cash contribution. It's also the slowest growing with billed gross margin growth in the higher single digits at times rising into the low double digits. Within wholesale we are seeing a slowing of growth in North America and especially in Europe our most penetrated market, although Europe may be much a result of the economy there. The wholesale domains business is extremely competitive and relatively mature. We do continue to do well competitively and we have an interesting growth opportunity with Ting referral in 2013. Of course new GTLDs also live on the rise for 2014 and are likely to increase the total market and naturally provide more growth as we leverage our position as the largest wholesaler. Growth in the portfolio component will be driven by continuing efficiencies in the secondary market for domain names. In addition to the fact that the size of our portfolio of names increases every quarter we expect to see continuing efficiencies going forward especially as more and more mainstream buyers come into the market. In other words we expect these efficiencies going forward to come from the demand side, whereas over the past few years the efficiencies have come from the supply side, such as increasing access to the market by getting our portfolio in front of the GoDaddy customer base. With Hover we have now seen three consecutive years of over 20% growth. The strength of the Hover value proposition continues to drive growth in customers, growth in transactions and growth in cash contribution and we expect that momentum to continue going forward. Ting is our opportunity for outsized growth. In the short term, the combination of Ting high growth and the accounting treatment of devices makes it challenging to see what's going on in retail and we'll continue to provide clarity in this respect as we started to do last quarter. We expect the rate of subscriber growth to continue. As noted earlier, the number of accounts at the end of Q4 doubled from the end of Q3 to an excess of 10,000. While the rate of growth may started to ease slightly, we expect the absolute number of additional customers to continue to increase likely in each successive quarter this year. In addition, as we hoped for over time, we are starting to see small increases in gross margin per customer per month not to the point where we want to recast what a customer's worth to us but enough to validate the expected impact of increasing numbers of devices per account. The fact that the new account comes on typically with the single device is still obscuring that data a little bit, but as we dig deeper into the cohort data, we're beginning to see that picture emerge. As we experience this hyper growth with Ting, we'll continue to consume some of our cash flow and hold down EBITDA. We expect that to be the case certainly for the front half of the year and if growth not only continues but increases, perhaps even a little bit longer than that, but we expect that at some point in the near future, Ting will begin to generate cash because we can clearly see that the underlying model is very attractive. With all that, we are very excited about 2013. At the start of last year when we were looking out at 2012, we were anticipating the Ting launch moving from beta to full release in an exciting market segments that we had high hopes for as a new growth opportunity. As we look out to the rest of this year, we are now excited about the potential of a very real business that no doubt will continue to alter the face of Tucows not only in 2013 but in the years to follow. And with that, I'd like to open the call to questions. Operator?
Operator: (Operator Instructions) Your first question comes from the line of Thanos Moschopoulos from BMO Capital Markets. Your line is open.
Thanos Moschopoulos - BMO Capital Markets: Hi, good afternoon.
Elliott Noss: Hi, Thanos.
Thanos Moschopoulos - BMO Capital Markets: Hi, Elliott. Maybe starting off on Ting, can you provide some color around what proportion of new Ting subscribers at this point are bringing their own device? And are the economics on those customers are surely different since you know how to deal with the hardware or is it not too different in either scenario?
Elliott Noss: Yeah, so I'll deal with those in the reverse order. The bring your own device is a little bit better in the upfront cost, but not a lot. So it's a little bit easier and it's a little bit cheaper, but not a material amount and probably depending on, hey, wanted to look at some of the -- kind of the human touch element, you don't like the $10 less, so it's fine we like it. In terms of that percentage, that's a real moving target. Every time we do something like add glide, we start to change some of that mix. What I can say is it's increasing and it's moving from -- it was obviously -- it was in Q4 that we introduced it. So it was moving from zero. It's kind of in that roughly quarter to third range and is now trending higher than that.
Thanos Moschopoulos - BMO Capital Markets: Overall, I mean, is it fair to say that you are seeing a material uptick in growth ever since you launched that capability?
Elliott Noss: Absolutely, yes.
Thanos Moschopoulos - BMO Capital Markets: Okay. And then on the portfolio sales, I guess the takeaway from your prepared remarks is that the softness that you saw on the high value demand sales is just lumpiness. If we look at that the business still on sort of on an annual basis and a longer-term term basis, is there any reason to expect that the revenue from high value domains will look any different for the full year in 2013 than it did in 2012?
Elliott Noss: We don't think so. We are seeing no reason to kind of go that far. We see interest in high value domain. They tend to be longer negotiations and obviously there are higher prices. So any time you see a little bit off like that, we're going to keep our eye on it a little bit more, but we're seeing nothing to worry about right now.
Thanos Moschopoulos - BMO Capital Markets: Okay. And then maybe can you comment further in terms of the industry softness and domain transactions, should our takeaway be that it's just primarily mature markets and maybe to a lesser extent some macro impact there?
Elliot Noss: Certainly to a lesser extent the macro stuff and when you think that has some impact especially in Europe it's just and again that's in that's checking with our suppliers and competitors. But when we talk about slower growth in maturing market you do have to realize that, that's relevant. So that's relative to what has traditionally been a market with the market size was growing consistently in the double digit percentages every year. So now it's slowing down a bit, you'll see that VeriSign is pointing to growth in the single digits now, if I recall what they were talking about in their last call. So we are seeing the gTLDs now in that single digit range but on the other hand we're seeing the ccTLDs grow more significantly kind of mid to high teens. So growth is slightly slowing but it's still a growing market and relative to a lot of markets in the real world the growth that we're talking about slowing into would be fantastic growth.
Thanos Moschopoulos - BMO Capital Markets: Okay then maybe last one on Ting is it still too early to talk about what types of churn metrics you're seeing, being - take us maybe should we wait a few more quarters to get there for you to have some more history before we talk about that or?
Elliot Noss: Yeah, we're watching churn very very closely and here - and we do want to start to see a full turn of the calendar before we start to think about talking about that. But even with churn we need to really understand the way that the industry is reporting that metric a little better to, when we try and dig in it can be pretty squishy in the way some of our competitors talk about it. So you see when customers come over sometimes they may come over and they just don't have good coverage. So and they're in and they're out in a couple of weeks. I don't know if that's the kind of churn that we're going to be most concerned with at an operating range.
Thanos Moschopoulos - BMO Capital Markets: Right.
Elliot Noss: So we need to figure out kind of not only what is the level of churn but we only -- account as churn as well, and what we're trying to do as much as possible as benchmark relevant to our competitors.
Thanos Moschopoulos - BMO Capital Markets: Okay that's great. I think so (Inaudible) I'll let pass the line.
Operator: Your next question comes from the line of Aram Fuchs from Fertilemind Capital, your line is open.
Aram Fuchs - Fertilemind Capital: Yes now that you have Ting live for a few months and you've tried few marketing channels, can you talk about what's working what's not specifically are the OpenSRS resellers helping out there it seems to me that it's more of a one-off consumer being aided by viral, word-of-mouth marketing, what are your thoughts?
Elliot Noss: So it's certainly more of what it a consumer, I think that sort of the by far our largest source of new customers is viral word of mouth. At the end of the day what's really driving growth with the fact that people are saving a lot of money and having a fantastic customer experience, which is especially in mobile is such a shock to them quite frankly that they end up talking about it and so there's no question that that's exceeded our expectations. And at the same time, wholesale has been a little bit less than we might have thought, so wholesale is contributing we see a lot of reasons to think that that contribution is going to increase and I will say it's kind of a hybrid of the two when we are starting to see a slightly growing contribution from our Refer a Friend program which is just a great way to get people who are talking about the service already to do so perhaps a little more bigger. So I don't know if we've announced those - have we announced our, no, so you know, more and coming up on Refer a Friend in the near future. But we definitely think that that's a place where we can maybe push a little harder.
Aram Fuchs - Fertilemind Capital: Okay because obviously if you're cost of acquisition is less than $100 million and you've told us the monthly economics, it doesn't take that on to get a payback there. So as we're thinking just perhaps increase the refer-a-friend fee that you offer right now or?
Elliot Noss: We will talk about what we're doing going forward, but we don't necessarily think that it's just kind of -- that there is a linear relationship between the size of the split we offer, whether that through refer-a-friends or what we offer discount from podcasters etcetera. We played around with -- maybe testing with some other stuff and we've really found that it's not the discount, the discount is, the size -- it's not the size of the discount, that's mattering so much. So while it is a variable to play with from time to time, we don't think that that just drives it. In other words, you are right, these paybacks are fantastic, but we are not just going to stretch it out until a lot more money added because we think we will probably be wasting some of that. So instead, we really love to focus on how to keep the price as absolutely low as possible on how to make sort of the sharing of that savings as great as possible. What inside the product can really make it an easy as possible for people to tell us about and get in front of other people. I don't know – well, I know Aram, I pointed you towards it, but again, I mean, Facebook page is remarkable for that, it's really -- I haven't seen a better implementation for kind of a transaction on an e-commerce site around what's going on with our community on Facebook.
Aram Fuchs – Fertilemind Capital: Great.
Elliot Noss: So I think if we could figure out a way to really jack backup somehow, boy, we would love to, but I describe that some sounds like trying to grow a tree faster. There is a little bit you can do, but it's still tricky.
Aram Fuchs – Fertilemind Capital: Okay. All right. On the YummyNames business, you mentioned something that the acquisition side of the business might be seen some synergies, I forget while phrasing this.
Elliot Noss: Efficient.
Aram Fuchs – Fertilemind Capital: What's that, I am sorry?
Elliot Noss: Efficient.
Aram Fuchs – Fertilemind Capital: Right, more efficient. But, I mean, we have been at this where the premium domains are listed as a upsell in front of the retail registrars for few years now, why do you think we should all of a sudden see some efficiencies there?
Elliot Noss: No, that's what I am saying. I think in 2013, we will see efficiencies on the other side of the ledger. So I think what you are saying is absolutely right, whether it's '12 or '11 or '10 there was increased penetration, more and more registrars making it available. I think that a lot of those opportunities have been realized, which is I think what you are saying. In '12, there was still a fair bit of that, but there is not a lot more real estate out there. So where I see the improvements coming out is it bring more and more buyers into the market. So it's less about getting in front of through the purchase path, in front of more people who are already buying, but there is pretty more buyers to the table and we are certainly pushing a lot of our suppliers and partners in that direction.
Aram Fuchs – Fertilemind Capital: Okay. And then in capital allocation, you have been quite aggressively in buying back shares, where do you look at it if you keep on these marketing costs less than $100, why wouldn't you push it to $125, $130, it's not events math to say that would probably be a good IRR too right?
Elliot Noss: It would be if you increase the number of customers correspondingly and so we are doing a fair bit of testing around that and we are not seeing that relationship. We thought we could just turn the dial and have that response, then that's great, but if we just simply end up paying another $25 per customer but not materially increasing the number of customers we add, what we do is waste the money.
Aram Fuchs – Fertilemind Capital: Right. Okay, fair enough.
Elliot Noss: That's what we are trying to figure out, right. If we could figure out a way to have that relationship hold as we increased the dollars, that's not great, but that's not what we are seeing so far.
Aram Fuchs – Fertilemind Capital: Okay. And then on these market - market development front that you did not get, I feel like I've heard that before, is that something, that you could sort of give the buy side a little more guidance and when it helps and when it hurts is, or are you surprised by it, how does that?
Elliot Noss: It generally tends to even out over the year, you know, we'll work with - our supplier partners and we'll generally give indication from them of what the year is going to look like. But at that point, you know, how they pay us, through the year can often change can often be lumpy and sometimes can just be flat out different than what they've told us, so we try and plan and push them to allow us to be as predictable as possible but we play the cards, we're down.
Aram Fuchs – Fertilemind Capital: Got it. Great, thanks for your time.
Elliot Noss: Thanks, Aram.
Operator: There are no further questions at this time.
Elliot Noss: Thanks, operator. We look forward to speaking with you all again next quarter, and thanks.